Presentation :
Operator: Good morning, my name is Shawn, and I’ll be your conference operator today. At this time I would like to welcome everyone to the Antigenics Third Quarter 2010 Earnings Conference Call. (Operator instructions) Thank you. Ms. Sharp, you may begin your conference.
Shalini Sharp: Thank you, Shawn and good morning everyone. Welcome to Antigenics conference call to discuss the financial results for the quarter ended September 30th, 2010. With me today is Dr. Garo Armen, Chairman and CEO. We hope that all of you had a chance to review the press release that was issued this morning. During this call we will review the financial results as well as provide a corporate update. We will then have a Q&A session. Before we continue, I would like to remind you that this conference call will contain forward-looking statements including, without limitation, statements development and commercialization efforts and timelines of the company, and/or its licensees, partnering efforts, and their potential impact on the company’s programs, timing of potential royalty streams and the potential efficacy of our product candidates. These forward looking statements are subject to risks and uncertainty that could cause actual results to differ materially. Reference to these risks and uncertainties is made in today’s press release and they are disclosed in more detail in our most recent filings with the U.S. SEC. These statements speak only as of the date of this call, and Antigenics undertakes no obligation to update or revise the statements. All forward-looking statements are expressly qualified in their entirety by this cautionary statement. When evaluating Antigenics business and securities, investors should give careful consideration to these risks and uncertainties. For the purpose of this call, the phrase “net cash burn” means cash use and operating activities, plus capital expenditures, debt repayments, and dividend repayments. As a reminder, this call is being recorded for audio replay. With that I will now review our financial results for the quarter ended September 30th, 2010. For the quarter ended in September 30th, 2010 Antigenics incurred a net loss attributable to common stock holders of $5.9 million or $0.6 per share. This is compared with a net loss of $10.8 million or $0.13 per share for the same period in 2009. For the nine months ended September 30th, 2010, the company incurred a net loss of $20.1 million or $0.21 per share compared with 32.8 million dollars or $0.43 per share for the comparable period in 2009. Antigenics recognized revenues in this quarter of $624 thousand compared with $896 thousand in the same period in 2009. This decrease is primarily due to shipments of QS-21 to our licensees. Research and development expenses in the third quarter of 2010 were $2.8 million compared with $3.7 for the comparable period in 2009. (Inaudible) expenses in the third quarter were $2.6 million compared with $3.5 million in the third quarter of 2009. These decreases reflect among other items our cost containment efforts. Cash, cash equivalents, and short term investments amounted to $24.4 million dollars as of September 30, 2010. Our net cash burn for Q3 2010 was $4.4 million compared with $5.8 million in 2009. This reduction primarily reflects our cost containment efforts among other items. This concludes the financial portion of the call. I will now provide a brief corporate update. Enrollment continues in two-phase2 clinical trials testing Oncophage vaccine, and recurrent or newly diagnosed glioma or brain cancer. The trials are being led by Dr. Andrew Parsa of the University of California in San Francisco or UCSF, and are supported by patient advocacy groups, as well as the National Cancer Institute Special Programs of Research Excellence. The trial testing, the administration of Oncophage in combination with radiation and Temodar in newly diagnosed glioma patients is now expanding to include up to nine leading brain tumor research centers in the U.S. based on early study results. Data from the first thirty-two patients in recurrent glioma trial showed median survival of forty-four weeks compared with a historical median of twenty-six weeks. All patients tested exhibited a significant, generalized innate immune response, and 92% showed an adaptive tumor antigen specific immune response demonstrated by a significant increase in 2B4+ and CD8+ T Cell responses.
Oncophage : The company continues to explore development and commercial partnerships for Oncophage on both the global and regional basis in both renal cell carcinoma and glioma. A partnership in glioma could help accelerate and fund several trials in the syndication. Distribution partnership in Russia could assist in broadening commercial penetration of Oncophage as well as potential assistance seeking government reimbursement while defraying the company's cost. A partnership in Europe could also defray cost while advancing potential development, registration, and/or (inaudible) patient programs in that territory. On a somewhat related note, Antigenics is also pursuing collaborations related to the testing of Oncophage in combination with other therapies that may work synergistically to improve the efficacy of Oncophage in late-stage cancers. For example it may make sense to (inaudible) potential combinations with anti-PD-1 antibodies, anti-CTLA-4 antibody and/or (inaudible) In pursuit of these various types of simple partnerships remains a very high priority for the company. Moving on from Oncophage to QS-21, GlaxoSmithKline recently initiated a Phase-3 clinical trial testing and (inaudible) containing Antigenics QS-21 immune adjuvant in prevention of singles. There are now four QS-21 containing vaccines currently in Phase-3 clinical trial – including the vaccine for malaria, melanoma, and non-small-cell lung cancer. The first five containing QS-21 are expected to be launched in 2013/2014 timeframe. Antigenics is entitled to milestone payments as these programs advance as well as royalties for at least ten years after commercial launch. The cost of developing and marketing these vaccines is assumed entirely by the companies licensees. In this way, QS-21 represents a very broad and diversified pipeline of programs with minimal risk and investing on the part of Antigenics. This pipeline is rapidly approaching maturity and we look forward to the commercialization of an important, next-generation of vaccines. Finally, I will discuss our other internal program AG-707 – our therapeutic vaccine candidate for treatment of genital herpes. This product is based on the same heat shock protein platform as Oncophage, but is not patient-specific like Oncophage. It's comprised of heat shock protein-70 complexed with 32 different immunogenic peptides derived from the HSV-2 genome. HSV-2 is a virus that causes genital herpes. This high degree of multi-valent could potentially mean that AG-707 will have broader applicability to more patients, and may have durable impact on the disease. (Inaudible) one data for this product (inaudible 100% of (inaudible) patients receiving AG-707 and QS-21 demonstrated a statistically significant CD4+ T-cell response to HSV-2 antigens. Majority of those patients – the 63% - demonstrated CD8+ T-cell response as well. (Inaudible) both of these types of immune responses is the first of its kind of achievement in herpes therapy. AG-707 represents our first proof-of-concept for the application in the HSV platform in the infectious disease space. In theory, almost any pathogen could be addressed with similarly drawn vaccine. We're currently seeking partners for the further development of AG-707 and/or this platform technology. We hope that you found this update to be helpful, and I will now conclude my remarks. We are now ready to take any questions.
Operator: At this time I will remind participants, (Operator instructions) we will pause for a moment and compile the Q&A roster. Your first question comes from the line of Ren Benjamin from Rodman. Your line is now open.
Ren Benjamin – Rodman: Hi, good morning and thanks for taking the questions. So, I may have missed this in your prepared remarks Shalini, but maybe we can just go through it one step at a time. In the newly-diagnosed study, you mentioned that it's been expanded to approximately nine clinical sites. Can you give us an update as to how many patients have been enrolled? When do you think we might complete enrollment? You mentioned that the additional sites have come on board because of some exciting preliminary data. Can you provide us some color as to what that data is?
Shalini Sharp: Well, Ren, I can give you some of the enrollment figures. So, in (inaudible) trial, we have about thirty-two patients enrolled currently, and twelve enrolled in the newly-diagnosed trial which was initiated last year. In terms of timing of enrollment on the newly-diagnosed trial with the expanded size, as you mentioned, we would expect enrollment to be complete by the end of 2011.
Ren Benjamin – Rodman: Okay. What about any color regarding the additional sites – what's driving them to come on board?
Shalini Sharp: Sorry, go ahead.
Garo Armen: Shalini, did you want to take that or?
Shalini Sharp: Go ahead, Garo.
Garo Armen: Okay. So, the excitement that you talked about, Ren, was based on both the results from the earlier trial which Shalini talked about; as well as the fact that in the newly-diagnosed patients – which are being treated with the standard of care. It is Temodar/radiation in addition to Oncophage. We, in the first eight patients on whom we have data so far, we were about a year in to that trial, and none of the patients that have been evaluated have either recurrences or have died. With the caveat that this is a single-arm trial, the investigators involved think it's highly unusual for having no recurrences and no deaths a year in to the trial. That's one of the reason that they and their colleagues at other institutions who have privy to this data are excited enough to say, "Let's enroll more patients and see if these results hold up." If they do, the meaning of the (inaudible) of the results would be much more meaningful.
Ren Benjamin – Rodman: Okay. Just jumping back to the recurrent study that the enrollment update may be enlisted – when do we think enrollment will complete and will we see some additional, maybe, updated survival data this year for this study?
Garo Armen: I think both studies will continue to update as appropriate, and these results will be presented either in published form or at upcoming conferences.
Ren Benjamin – Rodman: Okay, but there's no plan at, let's say, the societies… I think it's Neurological Oncology the cell conference that's coming up. Are there plans for a presentation there?
Garo Armen: This is obviously an investigator's sponsored trial, and we shouldn't preempt what they will be doing. So, anything that's upcoming will be announced by them first.
Ren Benjamin – Rodman: Okay, okay. Can we talk a little bit about the Phase-3 plan? Is this something that is in discussions already? Is it something that you're going to, along with the investigators, kind of wait to see how the Phase-2 results pan-out? So, will it be most likely be a 2012 sort of an event? Can you also talk to us a little bit about if there is any – and if there is, what sort of color is there regarding any partnership discussions?
Garo Armen: Sure. So, let me take the plans for Phase-3 first. Plan for Phase-3 are contingent on certainly funding from third-party resources. That could be partnerships, as well as other means of financing such a trial. Suffice it to say that there are a lot of excitements about moving this program forward. There's excitement, not just in academics, but particularly by investigators who have been taking the lead on these programs so far. So, it's very important that we accelerate the enrollment in the existing trial – which we just announced this week as you know – and get as much additional data as possible. The intent would be to initiate a Phase-3 trial in the newly-diagnosed patients because we believe that that's the best setting to see efficacy for Oncophage even though we've had the data suggesting from the earlier trial that show that survival has been extended in the single-arm trial. We think we have a much better shot of showing more profound impact with vaccination of patients who have been newly diagnosed. So, (inaudible) to expect that Phase-3 trials will be in those patients. The more data we gather from existing or the ongoing trial, the better off we are in terms of deliberately designing a trial that will likely result in success. So, we do not have, as a company, the means right now to engage in a full-blown Phase-3 trial from a monetary perspective. That's why we have done what we have within our means which is acceleration of the existing trial so that we can have much more value before we start the Phase-3 program. Ongoing discussions are continued with potential partners to see how we can bring additional resources to put behind this program because there is a lot of merit in continuing it. Even partnership discussions that we've had with (inaudible) partners themselves have been struck by the result so far.
Ren Benjamin – Rodman: Okay. I guess, switching gears real quickly to Oncophage in Russia. Can you give us any sort of an update as to what's happening there?
Garo Armen: Yes. I think Shalini briefly alluded to what our plans are. We are working with a European company that has a significant presence in Russia. We're beyond the term-sheet phase. We hope to be able to initiate a full-blown commercial sales program in Russia very shortly.
Ren Benjamin – Rodman: Any sort of clarity regarding the reimbursement landscape or picture in Russia. Has there been any?
Garo Armen : Because of the experience of this company in the ongoing operations in Russia, this will fall in to their laps. So, the arrangement that we're exploring with them is that we supply Oncophage to them – we manufacture the product and we supply it to them – and they take over the process from the importation of the product on to sales and reimbursements. So, it's reasonable to expect that this will be rolled out in two phases. One will be based on private pay. They believe there's a market with private pay in Russia – not a huge market, but there's a market for it – followed by their exploration of government reimbursements. So, the first phase will take six to nine months, followed by the potential of government reimbursement.
Ren Benjamin – Rodman: Okay. Then, just continuing on that track, Oncophage in the EU or Oncophage… The road which early developments for Oncophage in, let's just call it, the rest of the world. Any sort of an update?
Garo Armen: Sure. Let me take EU first. As you know, after the European agency gave us a negative vote last year right around this time, we regrouped; we had a number of sessions with regulatory experts as well as some members of the EMA as we also had discussions with potential collaborators or partners in Europe. Once again, we don't have the full resources to be able to do this on our own in Europe – that is to pursue the registration of Oncophage in renal cell carcinoma in Adjuvant setting. That's where most of the data exists – very valuable data. So, we're in the process of now finalizing an arrangement with a European partner who will take the lead for the registration of this program. Once again, we will transfer product to them, and they will pursue registration as well as commercialization. So, stay tuned. I think… We hope that by the time we have our update call for the year-end result, we will have some of these more definitive arrangements that we can announce for you.
Ren Benjamin – Rodman: When we're talking about the arrangements, can you give us a sense as to how we should be thinking about it? Would it be a characteristic, large, up front deal here, or is it something more where you're focusing more on the backend royalties? Can you help guide us as to how we should be thinking about it?
Garo Armen : Certainly, I think our foremost priority here is to make sure the Oncophage gets to patients. That's very important. We want to do this in the most efficient way possible because of our belief, and the belief of a number of experts in the field, as well as treating physicians that there is a terrific need for treating patients in the Adjuvant setting because a reasonably large proportion of them relapse. When they relapse, as you know, in spite of the new, available drugs, there's going to be no cure for these patients. So, once you relapse with renal cell carcinoma. It’s basically a sentence to death. So, by preventing relapse, we would be adding significant value to patients, their families, and their ability to have a high-quality life going forward. So, that's one of the reasons we wanted to expeditiously take this program forward and not hold the program back because of any requirements for upfront payments or what have you. So, any arrangements that we will do will be designed to have partner underwrite the cost of taking the program forward – which is very important for us – and the partner's ability to successfully get to the final line. As you may know, a lot of the larger pharmaceutical companies don't really have an interest in specialized markets. So, we're talking about a medium to small–sized company that has the ability, and has the interest, and are eager to take the program forward. As such, their ability to make huge upfront payments will not be the kind of deal that we're looking for. So, as long as they can underwrite it and bring in a diligent effort to take the program forward, that would be an important requirement for us. We will cover some of the interim costs by doing such an arrangement. There will be some modest upfront payment, but the key to us is going to be have either a royalty or a transfer price arrangement.
Ren Benjamin – Rodman: Okay.
Garo Armen: So, one of those two possible (inaudible)
Ren Benjamin – Rodman: Got it. Switching gears to AG-707, would you be saying the publication of this data that you already presented anytime soon or is that more of a 2011 event?
Garo Armen: I believe it's a… In terms of publication submission, it will happen this year. The publication is basically ready to go. In terms of the actual publication coming out, it's likely to be 2011.
Ren Benjamin – Rodman: And just kind of the, you know, excitement… There is a lot of excitement on the day it came out. Can you give us a sense of our partnership discussions heating up around 707 or are holding back on that until you can move that forward a little bit further on your own?
Garo Armen: We're having some discussions, okay? We're having some discussions. A few companies have signed CDAs. So, with that, we're continuing to our discussions. We cannot have discussions with anybody who doesn't sign the CDA because publication is highly confidential until it gets published. So, there are several leads that we're pursuing. Once again, a partnership deal is likely to take place next year, not this year.
Ren Benjamin – Rodman: Got it. Just a final couple of questions on QS-21. Is there a projected model, some payment expected from any of the licensees this year? Has there been an update from any of the licensees as to when we might see some data from any of the programs or any sort of an update regarding that? I guess, do you know of any products from some of your earlier staged licensee that may be advancing in to more advanced studies – like a Phase-3 type of thing?
Garo Armen : Shalini, why don't you tackle that question.
Shalini Sharp: Sorry, Ren, could you repeat the latter part of the question?
Ren Benjamin – Rodman: Do we project any other milestone payments from the current licensees either this year or next?
Shalini Sharp: Oh, Okay. Sorry, I wasn't sure if you're asking about this year or next. I think for this year, we're not anticipating any additional milestone payments. We have one payment that is regular payment from GSK related to the transfer of the manufacturing technology that we did a few years back. We get one payment every two years until 2012. So, we do have that one coming up by the end of the year, but it's recognized on a straight line basis. So, you won't see any kind of lift in the financials. Other than that, we don't anticipate any milestones for 2010.
Ren Benjamin – Rodman: Okay.
Shalini Sharp: In 2011, it's a little bit harder to predict because, obviously, the timeframes are under control of our partners.
Ren Benjamin – Rodman: Got it. Then, based on your earlier stage partners, do you know of any that might be entering Phase-3 trials in the near term?
Shalini Sharp: There are one or two that we think may enter Phase-3, but I think it will premature to comment on them specifically at this point.
Ren Benjamin – Rodman: Okay. Great. Thank you, guys, very much and good luck.
Operator: (Operator instructions) Your next question comes from the line of Jeff Lighter, a private investor. Your line is now open.
Jeff Lighter – Private Investor: Hi, thank you for taking my call. I just have one question and it was about the QS-21 payments in 2013 and 14. I understand the burn rate and cutting the spending, which, of course, is necessary and a wise business move. It seems like we have pretty good news out there right now, and the results are good. Can we stay in business until we start getting large payments in 2013 and 14?
Garo Armen: Well, that's a very important question and a question that applies to us and has applied to us for the last sixteen years of our existence. So, can we stay in business? Of course, staying in business is a functional – how much cash we have at the moment, how much cash raised from different sources including monies coming in from partnerships as well as milestone payments and so on, and our ability to operate with close containment so that we only spend monies on programs that will continue that will add value to the company. So, we have, as you saw in our report, we have approximately $24 million plus in cash. We have additional cash coming in – modest amounts of cash coming in over the next months and year. We have a burn rate target which is somewhere around $15 to $17 million. So, we don't have to worry about your question in the very near term, but it's an ongoing preoccupation for us to make sure we have the appropriate financial resources to not only stay in business, but also prosper. So, we don't really think about it in the context of… I mean, in a desperate shape – would not – but the goal is to be able to use the monies effectively so that we can add a lot more value and grow the company.
Jeff Lighter – Private Investor: Excellent. Thank you very much.
Operator: Your next question comes from the line of Eric Warrick, a private investor. Your line is now open.
Eric Warrick – Private Investor : Hi, my call is very somewhat the last question. Garo, last conference call, you said that there will be some challenges the company would be facing in the next year or so. What are some of those challenges? Have you met the financial needs to meet those challenges?
Garo Armen: Are you talking about financial challenges?
Eric Warrick – Private Investor : Yeah, financial challenges.
Garo Armen: Okay. So, financial challenges are several for us. One is, as we mentioned, making sure that we have enough resources to operate and grow the business – very important consideration. Secondly, that we meet some of the upcoming obligations. Upcoming obligations – while they're not in the next six months, or in the next year to eighteen months – that's where we are working with the bodies that holds notes and certain other paper to make sure that we can restructure those. That's a very important consideration for us. In the meantime, we have continued to make sure we replenish some of our cash position so that we're not very vulnerable. My goal is that over the next months, some of these issues will be addressed as well.
Eric Warrick – Private Investor : Then, my next question is on the glioma study. I mean, the data does look rather promising. I know it's early on, but statistically, what difference does the company need to see between the standardized treatment and the standardized treatment with Oncophage to apply for regulatory approval in the U.S.?
Garo Armen: That's a very difficult question to answer. Very difficult question because a lot of that is a function of the results. When I say results, for example if you take the first line of patients – patients who are newly-diagnosed – these patients basically will die within twelve to eighteen months, half the treatment. So, there may be a tail to it, but this is a dreadful disease, and there's no cure for it. So, if we can, for example, show that eight patients where we have observed no recurrences and no deaths in, if that goes over a longer period of time, we need to take that in to consideration for a regulatory approval strategy. Certainly, in the unlikely event that you enroll twenty/thirty more patients in the trial and you have a very low percentage of recurrences or have no recurrences that will definitely… will be an important point to consider on how you move towards a regulatory full strategy. So, still a little bit premature, because when you're talking about a handful of patients, you really can't put percentages on them because it's not meaningful to have a percentage on eight or ten patients. It is meaningful to see no recurrences or no deaths over a period of time even in the small patient population. So, those are the things that we are watching for. That's one of the reasons we're very eager to enroll quickly the newly-diagnosed patient population to see if there is something very profound going on. If there is, certainly, that would mark a very quick potential registration for a disease for which there is no effective treatment or cure today.
Eric Warrick – Private Investor : Okay. My next question lies with QS-21. If I understand – I might be wrong on this – we have a lot of hopes right now on GSK getting the malaria vaccine approved. Are they also using the standard regimen which is the alum hydroxide at the same exact time when comparing QS-21 in the malaria vaccine?
Garo Armen: So, let me turn the clock back and just give you a flavor of what has gone on in terms of advancements in the field of vaccines – these include (inaudible) prophylactic vaccines which are the traditional vaccines used for disease prevention, and malaria is in that category; as well as therapeutic vaccines which are vaccines or vaccine products used for treating an existing disease – treating a disease that a patient has contracted such as cancer, certain infections and so on. As you mentioned alum, alum is the only product that's been around for a long time and is proven as an adjuvant – but alum is very limited. While it has worked well in traditional vaccines in the development of modern vaccines, which are going to be the driving force for many of the companies, and GlaxoSmithKline is a leader in the field – no question about it. New vaccine formulations have become critical. Glaxo caught on to this need over a dozen years ago and identified adjuvant, not just one adjuvant, but adjuvants that are critical in their make up for adjuvant mixes or adjuvant formulations. QS-21 is a critical component of the modern vaccine. Just as a reminder, as you may know, there are approximately fourteen separate vaccines in clinical development – Phase-1, Phase-2, and Phase-3 clinical developments – that contain QS-21 at GlaxoSmithKlein. A number of these products have publicized and talked about. We don't have the freedom to preempt GlaxoSmithKlein and talk about the others that they haven't talked about, but we have the ability to say there are approximately fourteen products, most of which is under GlaxoSmithKlein, that contain QS-21. In these trials, they do not compare in the registration trials, certainly. They don't compare a new formulation to a vaccine formulation with alum. The reason for that is primarily because in all the previous work done, it has been shown that vaccine formulations that contain QS-21 and other adjuvants that are proprietary to GlaxoSmithKlein are far superior in terms of immune response to any formulation without them. So, there's really no requirement to show a new formulation with an old formulation. The requirement is, you show the efficacy of your drug versus a placebo arm, or versus a extended arm. So, that's the landscape with QS-21 containing vaccines and modern vaccines under development.
Eric Warwick – Private Investor : Is there any risk, then, in 2013 if they would get approval of their malaria vaccine that they could back out and not use QS-21 as the adjuvant?
Garo Armen: I will tell you humbly, there is zero risk.
Eric Warwick – Private Investor : My next question… Again, I had this question last time and I just didn't have enough time to respond. Pertains to, again, the EMEA asking for a better measure of quantitating the active peptides in Oncophage. Has the company dealt with this restless issue to verify that Oncophage does indeed work?
Garo Armen: Okay. So, let me answer in two components. One is the first question you asked – and you made a very astute comment that there was a need to quantitate the peptides, or that is one of the questions from the EMEA in terms of our product factorization issues. Now, given the fact that we don't know exactly which peptides are in which patient formulation, or which antigens; given the fact that not everything is knowable, hence the reason for individualization of this product, every patient's mutated antigen or peptide in their cancer is different. So, there are certain limitations on what you can and cannot do. Having said that, we are highly confident that the progress we've made in terms of addressing the specific issues that have been raised at the EMEA meeting, before, during the process that we went through the last year, we are highly confident that majority – significant majority, if not all – have been addressed by the company subsequently. So, if we were to go back in some form for reconsideration, we are very confident that the product issues will be put to rest. So, that begs a second question of demonstrating efficacy. Now, given the structure of this trial, and given the length of time it took, given the fact that patient definition changed midstream during the course of the trial, that is not an issue that we prompted – meaning, we did not change the patient definition. The standard definition out there by the experts changed independently of us. Given all of those considerations, we try to make a case, compelling case, that the analysis we conducted would suggest that a clearly defined earlier patient population, in short, profound benefit that should be used as a valid argument. Now, no one, by the way, will argue the fact that would a cancer vaccine, seeing an ether effect in earlier stage patients – clearly defined earlier stage patients – is not expected. That is highly expected. So, the question is, how do we overcome the convention which says you have to predefine your patient population and go with it. So, subsequently, as you know, prior to that we even initiated the immunology trial to ensure that when you inject Oncophage to a renal cell carcinoma patient, you can measure changes with regard to immune parameters that will be an added demonstration of the fact that Oncophage does something – and does not just something, but does what it's supposed to do in terms of activating the immune system both prior the administration and after administration. So, with our collaborator/partner that we hope to finalize our arrangement with – which is a local player in Europe – we hope to be able to open up discussions again to see how we can pursue a resubmission of our existing, as well as new data.
Eric Warwick – Private Investor: My final question… Thank you. My final question is, will the statistics be released any time soon on the survival registry – I guess it's closed now – but the final statistic analysis, will that be released any time soon?
Garo Armen: I think that's, again, a 2011 occurrence. We hope that it will come out in the form of a formal, either publication or a presentation.
Eric Warwick – Private Investor: Okay. All right. Thank you very much.
Operator: There are no further questions at this time. I turn the call back over to the presenters.
Shalini Sharp: Thank you, Shawn. I would like to remind listeners that a replay of this call will be available approximately two hours from now midnight Eastern Time on March 28th, 2011. Please dial 1-800-642-1687 from the U.S. or use the international number, 706-645-9291. The access code is 18732304. The replay will also be available on our company website in approximately two hours.
Operator: This concludes today's conference call. You may now disconnect.